Richard Tyson: All right then. Good morning, everyone, and welcome to the Oxford Instruments Half Year Results presentation. Thanks for joining us today. We provided an initial overview of the shape of the first half of the year in our first -- in our trading update a few weeks ago. Today, I'm going to begin with the key highlights of the period, and then, I'll hand over to Paul for the financial review before returning to the detail on our strategic progress with some pointers into the second half and beyond. There will also be an opportunity for questions at the end, both in the room and online. Since we last met in June, we have made another 6 months of good progress on our strategy to simplify the group, improve commercial execution and realign our regional presence, laying the foundations for future growth and margin expansion. At the same time, the team have had to contend with more significant disruption than anticipated in the trading environment as a result of the global tariff and trade volatility, coupled with funding challenges in academia. As the results show, the first few months of the year were challenging in our higher-margin Imaging & Analysis division, while we are working with our customers to align on a new trading landscape. By contrast, in Advanced Technologies, we've made great progress with 25% order growth coming from our compound semiconductor business, attracting increasing numbers of commercial customers focused on R&D and production. Across the group, our market-leading technology and expertise continues to position us for good growth in structural growth markets. So despite the disruption in Q1, we ended the half with positive orders and book-to-bill and the Q2 order momentum back to that of prior year. We're into the second half with a full order book to support another year of good growth in Advanced Technologies. And with demand improving in Imaging & Analysis, we expect to deliver a strong H2, broadly in line with last year. We're seeing a good return on our investments in technology with a number of new recent product launches, and I'll share more about those later. Cash conversion was moderate, in line with prior H1 periods for Oxford and reflects the trading conditions. We expect it to normalize to our target levels in H2 with strong free cash flow ahead. The balance sheet is strong with net cash at GBP 45 million and around GBP 57 million from the sale of NanoScience to come. Our share buyback program is well advanced with just over GBP 30 million has been returned to shareholders since June, and we'll be extending it by a further GBP 50 million to a total of GBP 100 million. Now, I'd like -- just like to zero in on the Q1, Q2 dynamics. And there were 2 main factors to keep in your mind. Firstly, tariffs and their impact on trading; and secondly, U.S. academic funding. Let me take you through the slide starting on the left-hand side. We had anticipated some softening of demand from the U.S. administration actions, but the impact turned out to be more extreme in Q1. As a major exporter, we've been managing multiple changes in the global tariff landscape since April 2. Customers have had to reevaluate their budgets and spending plans, while others have had to request additional funding over and above that allocated to support new purchases. Initially, we focused on working with customers to reprice the open order book to cover tariff and then moved on to active quotations and the opportunity pipeline. And as we indicated in June, we were able to protect margin and achieve recovery of new tariff costs, meaning our strong contribution margins have been successfully maintained. Q1 saw -- also saw the significant cuts proposed to academic funding by the White House. Shown here in billions of U.S. dollars, we show this in the chart in the middle, the gray bar, meaning a sizable reduction in funding was being digested by our customers in the U.S., leading to delays in purchases. As we move into Q2, the chart shows you the evolution of the proposals as they went through Congress. We're seeing a potential normalization of U.S. funding shown in the orange bar back to prior levels, both the National Institute of Health and the National Science Laboratory, starting to give customers more confidence their future funding will be intact and to start buying again. Our U.S. team has also been proactive in helping customers seek new funding sources and build up our commercial customer base. Moving back to tariffs. For some product lines, we have also worked quickly to relocate some assembly locations to help our opportunity and mitigate the tariffs. And then, with the retaliatory imposition of restrictions on rare earth supply impacting supply chains, our engineers have created new engineering solutions and helped to resource supply where possible. So despite many distractions and impacted demand patterns, the whole Oxford team have done an excellent job to overcome the headwinds and deal with the fluctuating demand challenges, culminating in the environment stabilizing through Q2. So with that, let me hand over to Paul for a deep dive into the numbers.
Paul Fry: Thanks, Richard, and good morning. So moving to the first slide, I wanted to first highlight that all the information presented today is for continuing operations and excludes all revenues and expenses directly associated with our NanoScience business, which is now reported under discontinued operations. As Richard has already explained, despite the disruption to order intake in the first quarter, overall, orders have grown in the first half on a constant currency basis and flat on a reported basis. However, the profile of order intake over the first quarter has had a significant impact on revenue recognized in the period. Our Imaging & Analysis business runs on relatively short lead times, meaning the gap in orders has directly dropped through to revenue in the period. In our Advanced Technologies division, we've seen very strong order growth throughout the first half with a step change in Q4 of last year. Revenue is yet to pull through into -- revenue is yet to pull through as a result of short-term shipment delays and lead times in this division, but we are expecting strong revenue growth in H2. Both gross margin and overheads are in line with last year. And with a relatively fixed cost base in the business, changes in revenue quickly fall through to adjusted operating profit and OP margin, and we've seen this drop through in H1. Moving to revenue in more detail. The Imaging & Analysis division was most impacted by the order profile we saw in the first half. Whilst opportunities in the form of confirmed customer interest continued to rise in the first half, customers have taken longer to convert these to firm orders. In Advanced Technologies, order growth has been consistently strong since Q4 last year. But given some timing delays and lead times in the division, we are yet to see this growth pull through into revenue. However, the order book is full for the year, and we expect to see early teen revenue growth in the second half as we execute on this. Currency has continued to be a headwind in H1 versus the prior year with Sterling strengthening versus the U.S. dollar, but we've seen that trend reverse recently, and I'll touch on the impact of this later. Imaging & Analysis, so this slide gives you a snapshot of the profile of Imaging & Analysis in the first half. Here, you can see the uptick in both orders and revenue in Q2 versus a low Q1 with orders moving back in line with the prior year, but revenue still lagging this recovery. On the right, you can see order intake by end customer type, which shows a broad-based impact across both commercial and academic customers. U.S. academia has been quite resilient in terms of order intake, but revenue in the first half was heavily impacted, down nearly 25% on the prior period. The book-to-bill ratio for this division is above 1, and we expect I&A to trade in line with H2 last year. So far, Q3 is tracking in line with our expectations, but order intake for this quarter will be key, and we plan to update the market on progress in mid-January. On the next slide, you can see the same data cut for Advanced Technologies, where you can see the strong and more consistent order growth in both Q1 and Q2, building on a very strong Q4 from last year. Whilst revenue in Q2 was significantly higher than Q1, we are yet to see this growth pull through into revenue due to the timing delays and lead times I mentioned just now. On the right, you can see the significant growth in commercial customer orders, up 34%, and which made up more than half of the order intake in H1. This shift has been accompanied by increasing numbers of orders for larger multichambered systems, mainly from the U.S. and Europe-based customers. This has contributed to higher average selling prices, but also to longer lead times. Academia outside the U.S. has grown strongly in H1, mainly large systems for Quantum-related semiconductor applications in Europe. Again, as we execute on our full order book, we expect to see this translate into early teen revenue growth for the division in H2. So moving to adjusted operating profit. You can see the drop-through to operating profit from the H1 revenue gap. Gross margin was steady at 55% and overheads fell slightly. Given the relatively fixed nature of the cost base, incremental revenue converts to incremental operating profit at a very high margin, and we expect to see the strong operational leverage effect in H2. As I mentioned earlier, currency has continued to be a headwind in H1, impacting overall margin by around 100 basis points. For the full year, we're expecting I&A to move back into its target margin range and to see continued margin progression in Advanced Technologies. On the next slide, you can see the bridge to our statutory results. We've made no changes to the definition of adjusting items. And most of the nonrecurring or exceptional costs here relate to Belfast restructuring and the move of the semiconductor business to Severn Beach, including the sale of the Yatton site, all of which were ongoing at the beginning of the year. We expect all of these projects to have concluded by the end of this financial year. Discontinued operations is reported here on an after-tax basis and includes all transaction-related costs. Pre-tax discontinued operations made an adjusted loss of GBP 2.2 million in half 1. And then moving to cash flow. Clearly, the foreign operating profit in the first half was fed through directly into free cash flow generation, albeit an improvement of around GBP 7 million on the prior year. The working capital movement largely reflects the normal shape of H1 and is down on the same time last year. Inventories are higher than the year-end, mainly in preparation to execute on the second half order book. We expect working capital to be less of a drag in H2, and we expect cash conversion to return to over 80% for the year. As I mentioned back in June, I think it's worth underlying again the positive cash inflection we see coming next year. Capital expenditure this year is benefiting from proceeds from the Yatton sale in August with underlying CapEx at around GBP 5.5 million in H1. But following completion of Severn Beach, capital expenditure will be lower than recent years, normalizing at levels much closer to depreciation. Our restructuring programs will complete this year, meaning exceptional costs are not expected to be material next year. And following engagement with insurers ahead of policy buying, we now expect to make no further payments to the group's defined benefit pension fund in the remainder of this year or beyond. This means a GBP 4 million upside to guidance we gave for the FY '26 and a further GBP 4 million benefit in both FY '27 and FY '28. So a GBP 12 million improvement versus our previous expectations for the 3 years. These, combined with operational cash flow, will have a material effect on free cash flow next year. Our balance -- our cash balance is strong, ending the year -- ending the half, sorry, at GBP 45 million after investing GBP 25 million in the share buyback program and before the receipt of gross proceeds from the NanoScience sale expected to be around GBP 57 million. Which then leads me to reconfirm our capital allocation priorities, which have not changed since I presented them in June. Our first priority remains profitable growth, and this is where we will always seek to deploy capital first. We will continue to invest in opportunities to improve productivity to drive order growth and to develop new products. We're also committed to our dividend program, and given our cash balance, the confidence we have in future cash flows and our strong dividend cover, we've grown the interim dividend again up 6%. Beyond these 2 priorities, we will look to deploy capital either inorganically, where we see a compelling case to drive growth and returns or return to shareholders via share buybacks, again, where there is a compelling case to do so, which makes sense for our individual shareholders. We are continuing to look actively inorganic options, but with a disciplined approach to ensure any acquisition increases the value of the company. As I outlined on the last slide, we see cash flow generation to markedly improve as we move into FY '27. And so taking into consideration all these factors, we've announced this morning that the current share buyback program is to be extended by a further GBP 50 million to GBP 100 million, and further details of that will be announced in due course. And then finally, I wanted to summarize some guidance for the rest of this financial year. This has not changed since our October trading update. On a constant currency basis, we expect our Imaging & Analysis division to trade in line with H2 last year with margin improving in H2 as a result of approximately GBP 4 million of cost benefit, mainly from our Belfast-based business. And as I mentioned earlier, we expect Advanced Technologies to transition to early teens revenue growth in H2 with a significant drop-through benefit to operating profit. These Belfast savings and the operational leverage benefit from a growing semiconductor business give us confidence that we can grow operating profit in the second half on the prior year and finish the year broadly in line with last year, ignoring the impact of currency. Currency is a continued headwind in H2. And in the guidance here, we've assumed a U.S. dollar rate of 134 for the rest of the year, giving us a headwind for the full year of around GBP 5.5 million. The impact of changes in this rate will not -- in rates this year will not be very significant given we are largely hedged for the remainder of the year. But if sterling continues to weaken to the levels we've seen recently, certainly to $1.30 or below, we would not expect to see further FX headwind in next year's results. And with that, I'll hand back to Richard.
Richard Tyson: Great. Thank you, Paul. So now, I'm going to walk you through some of our progress that we've made on our key strategic actions. This progress is giving us clear line of sight to margin improvement and future revenue growth. I'm going to start with Imaging & Analysis, the larger of our 2 divisions. The Imaging & Analysis division brings together all of our small-scale imaging, microscopy and camera product lines with similar customer bases and go-to-market strategies. It currently generates around 3/4 of the group revenue and the vast majority of the group's profit given its very good contribution margins with recent year -- recent full-year operating margin, operating in the range of 22% to 24%. I've already covered the first-half disruptions and our actions in response, and we're expecting a much stronger performance in the second half, supported by the self-help actions on cost and efficiency in Belfast and our usual improved H2 seasonality. So let's take a closer look at the 3 main markets in which we operate. In Materials Analysis, our products are ideal for analyzing the widest range of materials across multiple sectors. And although we started out in academia, we're attracting more commercial customers as companies seek to test properties of new materials and products and to carry out the quality test and failure analysis on those in production. With the constant demand for better and more sustainable materials, we anticipate a mid-single-digit growth over the medium term. We also support a strong and growing presence in the semiconductor market, where demand has been exceptionally strong in recent periods. We operate right across the life cycle, supporting customers at every stage from academic research to corporate R&D through to packaging, test and failure analysis. Significant long-term investments in security of supply and productivity are driving market opportunity for many years ahead. And our third key market in this division is Healthcare & Life Science. As you know, the global market has been subdued over the last couple of years following COVID with some customers overstocked. And although demand patterns have remained weak, they have been stable for a few periods now. And we're starting to see some early signs of improvement with book-to-bill now above 1. Order growth in the U.S. and China has returned, and we're making positive progress on rebuilding OEM relationships with another key order secured already in H2. As well as being well positioned in our main markets, we're also in a strong position geographically, globally diversified with good opportunity in all regions. In recent years, we shifted the weights of our markets with the U.S. increasing and China reducing, as we followed the best areas of opportunity for the business. At a group level, clearly, the short-term demand dynamic has been similar across all markets, but the medium-term opportunities in these 3 markets are exciting. And with the great products and technology we have in our portfolio, our competitive position, combined with our globally diverse business, we feel we are well placed to take advantage of the opportunities in the future. We've also been agile in responding to the immediate challenges. Given the changing trade and tariff circumstances in Q1, we took a number of specific actions to support customers and improve the resilience of the business. These included making adjustments to a few assembly lines. We accelerated a China for China project that was already underway to meet growing demand for locally produced products. Here, the plan was to produce Oxford Instruments detectors in China aligned with a number of our electron microscope partners who do the same. Our local team and supply partners successfully shipped our first products made in China for Chinese customers in the summer. And given the uncertain trading relationship between the U.S. and China and the proposed tariff levels, there was a risk to demand on our atomic force microscopes, which are made in California. This was likely to have a sizable impact on this product line. So we swiftly established assembly of AFM products at our WITec facility in Germany for European and Asian customers, a real achievement because we only started in April and the first products were shipped from Germany last week. Both of these initiatives should add to our competitive advantage as well as protecting and increasing market share. We're also now working on a further project to relocate some of our Nano indentation production from Zurich to High Wycombe during H2 to capitalize on our capabilities in this excellent facility. And as I touched on earlier, I'm also really proud of the U.S. team's response in such a volatile environment, bouncing back from the disruption in Q1, 11% order growth at the half year. That growth has been underpinned by commercial customers, notably in semiconductor, which we'll talk more about shortly. And they've also delivered 9% growth in service revenue, as we increase our focus on contract sales and improved utilization of our field service engineers. Given the historical performance of Andor in Belfast and the demand environment in Life Sciences, we spoke about this in June, the need to turn around the business performance. Over the summer, we took the unwelcome, but necessary decision to reduce the size of the workforce by 20%. And we will see the financial benefit of that flow into H2. In combination with other reductions, we expect to see around GBP 4 million worth of benefit in the second half. We've also continued with our operational program, which is delivering a 60% productivity uplift on our cameras work stream, reducing lead times and achieving GBP 4 million reduction in inventory, surpassing our GBP 2.5 million target. We've also reduced the backlog of customer repairs by 30% since January. All of that is helping us to rebuild our partnerships with OEMs. I'm pleased to say we've secured 2 new OEM positions and won back 1/3 since the start of the year by working closely to really understand the needs and deliver the product development that fits their requirement. Initial, but important steps forward. And we're working hard to reinforce the benefits of our leading technology with customers outlining the much stronger operational foundations we now have in place. And finally, the product line restructure we announced in June is complete, enabling us to focus on regaining market share and improving our margins. That is being helped by the launch of a new range of cameras, developed by the team in First Light Imaging that we acquired in 2024. This is just one of the important developments in the Imaging & Analysis new product lineup. Let's take a closer look at the examples of outputs of our technology investment, which is a key component of our organic growth strategy. New launches so far this year, including an extension to our atomic force microscope range, which is entering a new market segment, delivering our typical excellent standard of imaging at a more attractive price point for customers as well as being much simpler for the non-expert users to operate. We delivered this project in record time for OI, 9 months from start to finish. And the second one on the chart is a significantly updated benchtop Nuclear Magnetic Resonance instrument, which has enabled us to regain technology leadership in this space. This new model had an early success and was snapped up by GSK for one of its pharma production sites in the U.S. The third is that suite of new scientific cameras I just mentioned. And finally, a refresh of our Raman Microscope line, paired with a groundbreaking new spectrometer. Recognizing that our market-leading technology is and always will be key to our ongoing success, we are committed to a continued investment at our target level of 8% to 9% of revenue. Let's now turn to our Advanced Technologies division, where we've seen such strong order growth this year. Following the divestment of our NanoScience business, which in accounting terms in the results is held for sale, this division now mainly comprises our compound semiconductor business and Severn Beach here in the U.K., making large capital equipment for semiconductor development and fabrication. Though it does also include our much smaller components business, X-ray Technology in California. In this division, we focused on building the scale of Severn Beach, as we move from supporting academia to commercial customers, as they develop new chips and establish volume production activity. There is a big opportunity to improve margin as we improve efficiency and grow revenue to more than twice its current scale in the current facility. There is a second half weighting to revenue, fully covered by a strong order book, which will deliver improved margins. As you've already heard, Severn Beach has delivered excellent growth in orders over the half year, trading with strong momentum. So we'll take a look at what's driving that. The business is founded on 40 years plus of expertise in fabrication on compound semiconductor process development, positioning us really well to access the exciting growth potential in the compound semi market of between 10% to 20%. With the combination of our deep expertise and the significant investment we have made in our new facility at Severn Beach, we've positioned ourselves to target commercial customers developing next-generation technologies, including hyperscale data centers for AI and augmented reality devices. We're gaining traction, delivering 25% order growth in H1 and with a sixfold increase in orders from commercial production customers versus the first half of last year. That's supported by our world-class clean room, which is now fully operational, supporting growing number of customer samples and demonstrations. And this sampling forms an increasingly important part of the sales process, enabling us to work in partnership with commercial customers to develop and refine processes in our new clean room. We're also starting to see repeat orders from some of these larger customers, including Coherent, as they expand their data center presence in Europe and the U.S. As we grow our reach into commercial customers, we're also seeing more large systems and average order sizes increasing as well, as Paul mentioned. And as we grow the business, we're focused on doing so efficiently. The new facility is a great help with that, and we've seen a 12% uplift in labor efficiency so far this year. Our Operational Excellence program, which began in Belfast, is also now working at the facility to drive this forward further. And as I've already touched on, our growth is coming from key developments in technology, including AI and related developments in data center, power efficiency, quantum and augmented reality. We have focused our R&D investments in these areas of compound semiconductor technology, as we expect them to offer the strongest growth potential. Semiconductors are made up of many layers of materials. Our plasma equipment is used to etch that is to remove and deposit to add nanoscale layers of material to give the semiconductors their specific properties such as greater power efficiency or better optoelectronic properties. These so-called critical layer applications are where we have the most specialized technology, and we can, therefore, win orders from our target customers and command an improve value. The rapid progress in the AI ecosystem provides us with an exciting opportunity given our expertise in so many areas that are vital to its success. If I take you from left to right, we all know how important data centers are. Our equipment is used to fabricate the material required for the latest generation of optical laser transceivers and also gallium nitride devices, key to energy efficiency. Then there's also quantum technology development, too. Here, we're supporting a range of customers from leading academic institutions to start-ups and also some of the world's largest technology companies, as they take this technology from concept to reality. Finally, augmented reality is a further part of the future pathway for the AI ecosystem. And in a particularly nice example of our role, the team are playing in development of the technologies for tomorrow. In the diagram, you can see numerous different processes we are supporting the development of augmented reality glasses, which we have seen widely reported increase in investment in recent years, notably from the big U.S. technology players. We're excited about the potential for these areas and expect growth -- continued growth, as these rapidly advancing areas of technology continue. So despite the short-term disruption in H1, we have made good progress across both divisions, all meaning we remain confident, we are on track to our medium-term targets set out last year, which you can see on the right. Through swift and decisive action, we've protected our margin structure. As growth returns, we are well positioned for another step towards our 20% plus goal. In Imaging & Analysis, self-help cost and efficiency will support improvement in H2 and next year. And in Advanced Technologies, the success of the strategy is evidenced by more commercial customers and a strong order book, an opportunity pipeline supporting continued growth in revenue and margins. We're also continuing to invest significantly in the -- at the top end of our target range to maintain our technology leadership with new product launches directly from our R&D investment. Cash conversion is expected to return to target levels by the end of the year and net -- with the net proceeds of the sale from NanoScience will boost progress to our return on capital targets. And our balance sheet is strong. The capital allocation priorities mean we have already returned more than GBP 30 million to shareholders. With our forecast for strong future free cash flow, we have announced today a further GBP 50 million of share buybacks when the current program completes, taking the total program to GBP 100 million. So putting the short-term disruption earlier in this year behind us, I'm really pleased with the response from the team and actions on the building blocks to continued progress towards our targets. So to conclude, we go into the second half of the year with an improved position and good execution on strategic actions. I'm really proud of the way the teams have stepped up and found positive resolutions to unforeseen external headwinds, while we continue to make progress on our priorities. It is a challenging macro environment, but we've been navigating it with agility. That performance and the foundations we're building reinforce our confidence in the ability to deliver an improved performance in the second half. And with great people and fantastic technology, this is a good business, and it's improving well, as we put ourselves in the best position possible to deliver growth and the benefits of margin and improve value for our shareholders. Thanks very much for your attention. We'll now hand over to the room for Q&A and also online. If you're online, do post your question, and we can moderate that after we've dealt with the ones in the room. Thank you.
Thomas Rands: Thomas Rands from Berenberg. Just 3 questions, if I may, please. First one is around Advanced Technologies and that very strong order momentum during Q1 and Q2. And you mentioned kind of momentum in Q3, any kind of extra color you can give on? Should we expect a similar sort of level of growth in Q3? Or is that maybe too much? And linked to that, you mentioned shipment delays. Can you just give us a bit more reasoning for what was internal or external kind of causes of that, please? I'll come on to the 2, if that makes it easy.
Richard Tyson: Sure. Yes, no problem. So I mean, obviously, the order -- we're delighted with the order momentum in the first half. It's broad-based. There's no sort of one specific thing or customer or something like that that's driven it. It's across a range of customers, and it's been great. As I said, the pipeline continues to look really good and is building. So we're feeling good about the next sort of couple of years ahead as well for continued momentum in the business. And yes, there's reason to believe that Q3 could continue or certainly Q3, H2 could continue at least double-digit momentum. Do you want to pick up on the delayed piece?
Paul Fry: Mainly customer readiness. There was one, which was just a logistical issue on our side, which is resolved, but it's mainly customer readiness just to receive the equipment and install it and so forth. So those are getting resolved during this half -- I think, it is quarter I should say.
Thomas Rands: Small internal, but mainly external in place. Second one was just around capital allocation, and I guess, the increased share buyback. What is the M&A kind of pipeline looking like? And can you just remind us of kind of which key areas you're hoping to kind of find acquisitions? And then linked to that with the increase in the share buyback, which is kind of doubling great kind of number, was there any discussion at the Board to kind of have an even bigger than GBP 50 million? Or is that in time to come to that kind of balance between keeping your powder dry?
Richard Tyson: Okay. Sure. So from the M&A perspective, the pipeline we're looking at remains interesting. The areas we've been focused on is really for I&A generally and expanding there, either their sort of reach principally into the U.S. and Europe and extending the sort of product and technology range we're able to offer to the similar customers. And in terms of the pipeline, part of the capital allocation discussion is we've kicked it pretty hard in the last few months, and we don't see any of the sort of key targets coming into sort of ability to transact in the near term, basically, Tom. So that plays into -- it's not a change in our view on M&A as a strategy and wanting to use it to support the group's development going forward, but in the near term, you look at the strong free cash flow, the strength in the balance sheet, and the Board's conclusion on that was it made sense to extend the program by the GBP 50 million. That broadly puts us -- if you think 12 to 18 months out, it's putting us back in a similar position in terms of M&A potential. So it's a sort of keeping optionality, I guess, over that time frame for the strategy. I think the other point is it's an active continual conversation effectively about the capital allocation balance.
Thomas Rands: Good. And then just the third one, interesting to see where the kind of R&D and innovation is kind of going on Slide 19. Difficult to kind of for us as analysts to kind of gauge which one is exciting. Which of those kind of 4 kind of key products do you think has got the most potential from a revenue and profitability kind of point of view?
Richard Tyson: Actually, I think that the sort of 4 that we put up there happen to be the ones that have come to market in the first half. They're all important moves in those product lines, I guess, to -- I wouldn't put any one of those as sort of head and shoulders above the rest. I think we've got some others coming in, in H2 that I think we're hoping might be sort of more comprehensive or significant. The imaging camera stuff is -- that's good. The First Light technology was a proper extension to our opportunity in camera imaging, and potentially, as we said on the chart, takes us into some newer spaces, and that did offer us the opportunity to secure a position with a new OEM. So that's in a development program. So we'll have to see how that moves forward, but that was certainly good.
David Richard Farrell: David Farrell from Jefferies. Two questions from me. Firstly, if we think about Advanced Technologies, you referenced potentially doubling revenue with the existing facility you have. I think you've also talked about kind of better pricing in the order book. Can you just kind of talk about what needs to happen to get to the 10% to 12% operating margin target? Is that purely operational leverage? Or is there an assumption that the pricing is part of that progress?
Richard Tyson: Sure. So there's a basic assumption that the mix sort of improves a bit over time, but nothing sort of major step up, David, and it's been doing that. So it's a continuation of what we've been achieving over the last few periods. And then, it's really all about ensuring we get the revenue growth and continuing the top line, which as we've shown is in really good shape. That will be another year of double-digit growth on top of the last 3. So I think the strategy has positioned us with a balance of opportunity across the different compounds. I mean, if one is down, others are still offering some great potential for us. So yes, I think it's really all mostly about the revenue growth and the leverage that comes from that.
David Richard Farrell: And I think I'm right in saying [ Brooke ] had talked about signs of life in China last week. Maybe just get your views on what you're seeing in that market.
Richard Tyson: So probably talk I&A for China, I think -- we mentioned, I think, in the release this morning the -- in general, a good data point was in the sort of life science and/or arena that we've seen the cameras return to some growth. So that was good in China. Overall, I think we need to do continuous certain actions like the product line that I mentioned, the sort of the entry-level detector. China for China is key to match it with our electron microscope partners. And that definitely gets the team excited out there, and there's an opportunity for selling that. So I think I'd sort of point to a few of those things, and overall dynamic for China is, as we said, we obviously made that deliberate reduction, but then, it's sort of stabilizing at the level that we've seen, and we're hoping for growth in there with I&A.
Richard Paige: It's Richard Paige from Deutsche Numis. Three from me, please. Aligned to the former 2 questions on the AT business, the 25% order growth in the first half, can you give us just a bit of flavor? Because you've spoken about larger systems of price versus volume within that? And then on the pro forma numbers you've given, obviously, a couple of changes since October, I understand, on stranded costs, but can you just align us as to where we are and whether there's any opportunity post the NanoScience disposal of any more...
Richard Tyson: Stranded costs...
Richard Paige: To do that on stranded costs, yes, please. And then, obviously, it's only a month on since your trading update in October, but the second half bridge all important, could you just talk about visibility in the order book and timing of that, particularly given, obviously, the last month and a bit, we've been in a U.S. shutdown.
Richard Tyson: Sure. Paul, how do you fancy doing the first 2, and I'll come back on the trade demand?
Paul Fry: Yes. So...
Richard Tyson: I mean, you talked a bit about the price-volume increasing.
Paul Fry: Yes. I mean, certainly, order growth has been very strong. And, as I said, it's been both academia, as in Europe, in particular, as well as commercial systems. Both of those have led to -- have been around larger systems, more complex, multi-chamber, which has given us a higher ASP, but it does mean some longer lead times. But that's -- we don't think that's going to handicap us in terms of delivering a double-digit growth still in the second half in terms of revenue. On the pro forma, so yes, we've been stabilizing just in terms of what costs sit within the discontinued line versus sit within continuing operations. And so you probably saw some slight tweaks versus our -- what we set out in October. Hopefully, that will not move again now. Obviously, we've got the order to go through, but our auditors have had a look at those numbers so far. Stranded costs are where we expect them to be in terms of quantum, as we set out -- in fact, slightly less actually than we set out in June, so probably around 3.5% full year. And as we set out in June, we've got a line of sight on how to reduce those by at least half.
Richard Tyson: So -- on trading, Rich? Yes. So I mean, basically, obviously, I&A is the key one where we said we need a Q3 order intake in line with Q2 momentum. So essentially, Q3 is running to expectations at the moment. So outlook forecasts are in line. P7 kind of moves as we'd anticipated going through the quarter. So yes, there's not a lot -- there's still another 2 sizable months to do, and P8 and P9 are sizeable months like they were in Q2, but the outlook is in line with that. So, hence, we're sort of moving along the way we need to, I guess, so far. The shutdown clearly has not been super helpful, as you can imagine, in the U.S. in period 7. And so there are a few specific orders where -- which we were expecting to land, and they've moved alongside not having somebody to place it basically. But I think we're -- that's obviously looking like it's normalizing, and we were expecting those in Q3. So we're -- we think that risk is obviously going away. Any more in the room? No? No more in the room. Any more online?
Operator: Yes. We've got 1 question from Daniel Thornton from Shore Capital. Can you talk about the new product launches in I&A and whether these are going into industrial commercial labs as opposed to academia?
Richard Tyson: Okay. Right. So well, the 4 that we talked about, what would we say about those? I guess -- so yes, it's a mix, actually. There is a few specific -- so Raman tends to be specifically academia, but not exclusively, but the majority of it, but actually, the other areas are targeted at more commercial customers in general that we mentioned this morning. The higher-end cameras are pretty high end and quite individual projects, but they're moving towards the commercial arena.
Operator: No further questions from the webcast. So I'll just hand back to you, Richard, for closing remarks.
Richard Tyson: Great. Well, thanks for coming along this morning. I appreciate the attention. And hopefully, we've managed to convey that we've been navigating a disrupted Q1 and a better Q2, so a difficult H1, but well positioned for a much improved H2, as well as making great progress on the strategic actions, which underpin our confidence in the medium-term targets. So thanks for listening this morning, and see you around. Okay.